Operator: Good afternoon, and thank you for standing by. Welcome to Grove Collaborative Holdings Fourth Quarter and Full Year 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. Hosting today's call are Grove's CEO, Jeff Yurcisin and CFO, Tom Siragusa. Some of the statements made today about future prospects, financial results, business strategies, industry trends and Grove's ability to successfully respond to business risks may be considered forward-looking, including statements relating to reactivation of lapsed customers, future increases in advertising spend, stabilization of our e-commerce platform, sequential revenue growth throughout the year, while maintaining profitability discipline, increased capacity to execute additional growth initiatives, savings from reduction in force and improved subscription experience, future increases in product development, guidance for 2026, including guidance related to revenue and adjusted EBITDA; net revenue reaching a low point in the first quarter of 2026, seasonality and advertising investment in the first quarter of 2026, sequential improvement in revenue and acceleration of advertising investment, such statements are based on current expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including those risks discussed in Grove's filings with the Securities and Exchange Commission. All of these statements are based on Grove's views today, and Grove assumes no obligation to update any forward-looking statement, whether as a result of new information, future events or otherwise, except as may be required under applicable securities laws. During today's call, Grove will also discuss certain non-GAAP financial measures, which adjust GAAP results to eliminate the impact of certain items. You will find additional information regarding these non-GAAP financial measures and a reconciliation of these non-GAAP items to the most directly comparable GAAP financial measures and Grove's earnings release, which is also available on Grove's Investor Relations website. I would now like to turn the call over to Jeff Yurcisin to begin.
Jeff Yurcisin: Thank you, operator, and thank you for everyone joining us. I want to start with the financial headlines. We delivered on our revised full year 2025 revenue and adjusted EBITDA guidance, and we returned to positive adjusted EBITDA in the fourth quarter. This was our first positive adjusted EBITDA quarter in the last 6 quarters, and the result reflects a deliberate choice to prioritize liquidity and adjusted EBITDA profitability while we work through customer experience disruptions tied to our e-commerce platform migration. Stepping back Grove's focus remains the same. Driving long-term shareholder value by building a stronger, more resilient business, one that can deliver sustainable growth and consistent profitability over time. Our mission is also unchanged to be the leading destination for clean, sustainable nontoxic products for every room in the home. To earn that position in a market dominated by scale, digital platforms, we have to win where it matters by delivering a customer experience that's meaningfully differentiated with unit economics that support profitable growth and that starts with execution in the near term. Today's consumer is navigating a fragmented, often confusing marketplace crowded with options, inconsistent standards and marketing claims that are hard to verify. And I have higher conviction than ever that Grove is positioned to capitalize on this consumer problem by building a platform of curated and highly vetted products leading with transparency and making it easier for customers to align everyday purchases with their values without sacrificing efficacy. For the conscientious 57 million consumers who care about ingredients, performance and sustainability, shopping can feel like a trade-off between convenience and trust. We believe Grove is uniquely positioned to simplify that decision. We curate and vet products to a higher standard. We lead with transparency, and we make it easier for customers to align everyday purchases with their values without sacrificing efficacy. That positioning matters because it's not just a brand promise. It's a business model that we believe can drive durable unit economics over time. When customers trust the curation and feel confident in the experience, we earn repeat behavior. And when we earn repeat behavior, we can invest more efficiently and scale more profitably. However, '25 was a challenging year and a meaningful part of that came from our e-commerce platform migration early in the year. While the migration was strategically important, the transition created real friction in the customer experience, most notably across the mobile app, subscriptions and our VIP program. When those areas did not perform consistently, we saw more churn in '25 than we originally expected. That was particularly disappointing because we entered '25 with real momentum. We had delivered our first quarter of sequential revenue growth in Q4 2024 and our first full year of positive adjusted EBITDA. The migration issues interrupted that progress. We ended 2025 with 599,000 active customers, down 13% from 689,000 at the end of 2024. That ending customer base is the starting point for our 2026 revenue expectations. Importantly, we don't view the customers who churned as gone forever. As we continue to stabilize our e-commerce platform and restore reliability and the customer experience, we believe we have an opportunity to reactivate a meaningful portion of them over time. But first, we need to build the best possible shopping experience for clean, sustainable products that arrive regularly in one's home. And that's what 2026 is for us, a year of rebuilding that momentum. We are encouraged by the direction because we now have clarity on the root e-commerce platform issues, and we're making tangible progress to fixing them. As those fixes take hold, we expect to stabilize active customers, reactivate lapsed ones and measurably increasing advertising spend to acquire new customers. We expect to deliver sequential revenue growth through the year while maintaining profitability discipline. And as the core experience stabilizes, we will also have more capacity to execute additional growth initiatives, which I'm looking forward to highlighting in future quarters. As we execute that plan, we're staying anchored to the same 4 key pillars we've discussed throughout the year, balance sheet strength, sustainable profitability, revenue growth in environmental and human health. These pillars continue to represent the framework that keeps us focused as we're still rebuilding parts of the customer experience. Starting with balance sheet strength and profitability. In the fourth quarter, we delivered $1.6 million of positive adjusted EBITDA. It reinforces our commitment to navigate this transformation responsibly, protecting liquidity, managing profitability and scaling advertising spend only when the customer experience is stable and paybacks justify it. We also delivered breakeven operating cash flow in the quarter. This is the fifth quarter in the last 8, where we've achieved at least breakeven or positive operating cash flow. That consistency matters. It underscores our focus on disciplined execution and building a more durable operating model. Contributing to these results, we continue to align expenses to the current scale of the business. We executed a reduction in force in November that we expect to generate approximately $5 million of annualized savings. This action was necessary to match our cost structure to the business today, improve operating leverage and create capacity to invest as performance improves. On the revenue and customer side, we advanced several important initiatives to strengthen the experience and rebuild engagement. First, we launched our loyalty program, Grove Green Rewards in the fourth quarter. The program is designed to deepen engagement, reward repeat behavior and reinforce the value customers get from shopping growth. It includes a sign-up bonus, differentiated earn rates for VIP customers and enhance earning on subscriptions. It also gives us multiple levers to run points-based promotions and exclusive VIP deals. And importantly, it allows us to incorporate rewards into new customer offers and reintroduce referral capabilities. Second, in February, we launched our redesigned mobile app, which is a key step towards stabilizing the mobile experience. We moved away from our prior third-party approach and rebuilt our own customer app. Mobile is too important to the customer experience to tolerate instability. This release restores much of the functionality and experience customers have prior to the migration. There's still work ahead to improve performance over the coming quarters. But this release represents a meaningful step forward in delivering a better customer experience. Third, we're focused on strengthening our subscription experience, which is a core driver of retention and lifetime value and an experience that was negatively impacted in the platform migration. In 2025, subscription units drove 60% of our revenue and orders with subscriptions were 79% of total orders. By the time we report second quarter earnings we expect to meaningfully improve the subscription experience to customers who want a box of home essentials delivered on a regular basis to their home. Taken together, Grove, Green Rewards, the redesigned mobile app and our planned subscription improvements are foundational to our strategy this year. They are designed to restore elements of the experience customers know and love, deepen engagement through loyalty, improve discovery and convenience and help us deliver a more personalized and reliable experience that reinforces Grove as the destination for clean and sustainable Assets. Our fourth pillar is environmental and human health. In the first quarter of 2026, we expanded Grove's ingredient standards to cover more than 10,000 banned or restricted ingredients, including more than 3,000 outright banned across every category we carry. To our knowledge, this is the most stringent standards and curated assortment that exists in this space. These standards are also informed by leading EU safety frameworks and often go beyond baseline U.S. requirements through tighter limits and stricter exclusions. For customers, the benefit is straightforward, more confidence in what comes into their home. Strategically, it further differentiates Grove versus competitors that have shorter, less comprehensive less, reinforcing our role as the trusted curator not just the marketplace. Alongside our focus on core execution, as we've stated previously, we continue to evaluate strategic options to maximize shareholder value. These may include additional acquisitions or partnerships, divestitures and other strategic options consistent with our mission and long-term vision. Any action we take will be guided by the same principles that shape how we operate the business every day, customer focus, capital efficiency and sustainable shareholder value creation. In closing, I'm energized about 2026 because the work in front of us is clear and gives us a credible path to stabilizing the business and then reaccelerating responsibly without sacrificing profitability discipline. Grove remains uniquely positioned to lead in human health and wellness by combining trusted standards with the convenience and economics of a modern digital platform. Tom will now walk you through the financials and our 2026 outlook.
Tom Siragusa: Thank you, Jeff, and welcome, everyone. I'll walk through our fourth quarter and full year financial results and then review our outlook for 2026. Starting at the top line, revenue for the fourth quarter was $42.4 million, down 14.3% year-over-year. The decline was primarily driven by fewer orders reflecting reduced advertising investment and the lagging effects of disruptions from our e-commerce platform migration earlier in the year. That decline was partially offset by $2.9 million of QVC revenue driven by 8Greens Today’s Special Value program. QVC was an existing 8Greens sales channel that Grove acquired as part of the 8Greens acquisition in the first quarter. For the full year, revenue was $173.7 million, within our revised guidance range. While revenue declined 14.6% year-over-year, we made deliberate trade-offs to protect liquidity and profitability while prioritizing fixes to the customer experience, and we ended the year with positive adjusted EBITDA in the fourth quarter. Turning to our operating metrics. DTC total orders were $539,000, a decline of 25% year-over-year, while active customers ended the quarter at $599,000, down 13% versus the prior year. These declines were driven primarily by headwinds related to the e-commerce migration and lower advertising spend relative to prior years, which reduced new customer acquisition and in turn repeat orders given the recurring nature of our business. DTC net revenue per order was $69.50, an increase of 4.1% year-over-year. The increase was primarily driven by more targeted promotional strategies and a larger mix of higher-priced items and customer orders as we continue to expand our selection. Our gross margin was 53.0%, an increase of 60 basis points compared to 52.4% in the fourth quarter of 2024. The increase was primarily driven by lower promotional activity, partially offset by a nonrecurring benefit in the prior year period related to the sell-through of previously reserved inventory. Turning to advertising. We invested $1 million in the quarter, a 65.2% decrease year-over-year. This reduction reflects a strategic decision to preserve liquidity and drive profitability while we focus on optimizing the core experience through ongoing improvements across our web and app platforms. Product development expense was $1.9 million, down 59.2% year-over-year. This decline reflects our decision to streamline our technology organization as well as lower amortization costs following the e-commerce platform migration. In the near term, we've also been more selective in own brand innovation, prioritizing resources towards stabilizing and improving our core technology and customer experience. As the platform work progresses, we expect to rebalance our investment in product development to support both innovation and growth initiatives aligned with our financial discipline. SG&A expense was $21.2 million, a 20.8% decrease versus the prior year. The reduction was driven by lower fulfillment costs from fewer orders, ongoing cost optimization initiatives, including the reduction in force executed in the fourth quarter as well as reduced depreciation and amortization and lower stock-based compensation. Net loss was $1.6 million or a 3.7% net loss margin compared to a net loss of $12.6 million or a 25.5% net loss margin in the prior year. The year-over-year improvement reflects lower operating expenses and lower interest expense as well as the absence of the noncash loss on debt extinguishment related to the payoff of our term loan in the fourth quarter of 2024. Adjusted EBITDA was $1.6 million or a 3.7% margin compared to negative $1.6 million or a negative 3.3% margin in the prior year. The year-over-year increase reflects structural cost reductions, including our reduction in force from November and disciplined advertising investment. As Jeff mentioned, this is a return to positive adjusted EBITDA for the first time in 6 quarters, reaffirming our commitment to navigating our transformation with discipline. For the full year, net loss was $11.7 million, and adjusted EBITDA was negative $2.2 million, which is in line with our revised full year adjusted EBITDA guidance and reflects the trade-offs we made throughout the year as we navigated the migration and reset our cost structure. Turning to the balance sheet and liquidity. We ended the quarter with $11.8 million in cash, cash equivalents and restricted cash down from $12.3 million at the end of the third quarter, primarily reflecting cash used in investing and financing activities. Operating cash flow was breakeven for the quarter as noncash items more than offset the net loss while working capital was a modest use of cash. This is compared to a $0.3 million operating cash inflow in the prior year. Now turning to our outlook. For the full year 2026, we expect net revenue to be approximately $140 million to $150 million and adjusted EBITDA to be approximately breakeven. Looking across the year, we expect Q1 to represent the trough in revenue for the year, reflecting seasonality and continued disciplined advertising investment. From that point, we expect sequential improvement as customer experience enhancements support customer retention and enable a measured reacceleration of customer acquisition investment throughout the year. In closing, our priorities for 2026 are clear, maintain financial discipline as we continue to optimize the customer experience. These actions are laying the foundation for a healthier, more efficient business that can return to profitable growth going forward. With that, I'll turn the call back over to Jeff for closing remarks.
Jeff Yurcisin: Thank you, Tom. As we close out the year, I want to bring us back to what's most important. Grove is rebuilding for the long term, but we also have to deliver in the short term. Over the past year, we've done the really hard work. migrating to a modern platform, reshaping our cost base and refocusing the organization on fixing the core customer experience. We now believe we're past the most disruptive phase of this migration. Our priorities for the next phase are clear. First, keep improving the experience, especially on mobile and subscriptions, so customers can reliably shop, subscribe and reorder with confidence. Second, operate with tight financial discipline protecting liquidity and ensuring that investments meet our standards for payback and lifetime value. And third, as these improvements take hold, we turn to measured growth built on stronger unit economics and a more efficient cost structure. The last year hasn't been good enough, but we know the path forward, and we're executing with urgency and discipline. That's how we'll rebuild long-term shareholder value and reinforce Grove as the destination for clean and sustainable essentials. With that, we're happy to answer any questions you have. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question is from Susan Anderson with Canaccord Genuity.
Susan Anderson: Maybe just to start off, if you could kind of talk about -- so first quarter is going to be the trough in sales and then pick up after that. Maybe talk about the drivers that's going to drive the pickup sequentially in sales as we go throughout the year. And then also, maybe if you could just talk about your customer acquisition investment for this year? Are you expecting to invest more in customer acquisition versus what you did last year?
Jeff Yurcisin: Susan, let me take that, and then I'll let Tom kind of share in terms of total acquisition spend. So the core reason we're expecting the sequential growth goes back to building a better customer experience. Over the last 12 months since that -- since we jumped on the platform migration, it's been a rough customer experience. The mobile app alone was a really big change that we just launched in Q1, and we're seeing early positive signals. The loyalty program in Q4, each one of these will improve the core customer experience. We mentioned the subscription experience that we hope to be able to announce before our next call, and you put all of this together. And it's pretty energizing about what we can get accomplished. And so that is the primary driver. And then with that in parallel, we do expect to be increasing marketing spend because we are seeing the better repeat rates and a better LTV to CAC and ultimately, better paybacks. Tom, I'll let you kind of handle the specifics around marketing spend.
Tom Siragusa: Thanks, Jeff. Yes, so Susan, we -- if you look at our P&L in the fourth quarter, we took our advertising spend down from about $3 million in the third quarter, down to about $1 million in the fourth quarter. We expect to be in about the same range in the first quarter. And we're not going to give specifics as to what we think that ramp is going to look like over the course of the year. But given some of the technology improvements and the impact that those will have on the CX, those should be the enabler for us to go and grow advertising spend because there will be a better user experience, and that should be one of the key enablers for growth over the course of the year. That, along with stabilizing existing customer base. So that's how I would think about the cadence.
Susan Anderson: Okay. Great. And then maybe if you could just talk about the categories that you offer currently on your site. And I guess, is there any white space left. You've obviously been able to expand quite a bit into health and wellness and then beauty and pet as well. So maybe just talk about kind of where you're at with those newer categories and then also any white space opportunity ahead.
Jeff Yurcisin: Appreciate that. We think most of the opportunity is within our core categories, and we see real growth paths within the type of assortment that we are currently selling. Are there opportunities adjacent, of course, they are. So some of those will be when we think about wellness, thinking in a more broad perspective than justify them as minerals and supplements, but everything going into air filters and even potentially mattresses where the opportunity is to deliver and curate the best products for a healthy home. And that goes beyond just our kind of standard categories. I would also say, this year, we will be enabling some drop ship capabilities, which will allow us to get into some higher AOV categories with the right type of economics. But again, all through the lens of these 3,000 banned ingredients and substances, the highest most -- the highest standards from an ingredients perspective. And also the most kind of curated assortment out there. And so from a category perspective, we are seeing success in all of these new categories whenever we launch more products, customers love it. And we're seeing growth, but the real opportunity is serving the core customer with an adjacency towards drop ship, which will expand our overall categories into beyond just VMS, but into broader human health.
Susan Anderson: Okay. Great. And then maybe lastly, if you could just talk about the margins for this year and if there's any varying cadence by quarter, whether it's gross margin or operating expense to get to your breakeven for the year?
Jeff Yurcisin: Tom, I'll let you take this.
Tom Siragusa: Yes. So I think in terms of margins, without giving specific guidance, I think from a gross margin perspective, we don't expect there to be a lot to move the needle one way or the other there. We did launched our loyalty program, which will allow us to be more tactical with our promotions from a point-based perspective. So we'll be leaning into that and using that to be as effective as we possibly can from a promotional perspective to engage customers. And then from an advertising perspective, we're going to spend similar to the fourth quarter and the first quarter, and then we'll scale it from there. I think given the discretionary nature of advertising spend, we'll lean in there as we see the results from some of the technology improvements and from a new customer acquisition perspective. And then from an operating expense perspective, we executed the RIF in the fourth quarter that reset our cost base lower. And so I think that's probably a good baseline to think about what our operating expense structure will look like going forward.
Operator: There are no further questions at this time. I'd like to hand the floor back over to Jeff Yurcisin for any closing comments.
Jeff Yurcisin: Thank you very much. I just want to thank everyone who joined the call, and hope you have a great night. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.